Operator: Greetings, and welcome to the Mydecine Innovations Group Inc. Full Year 2020 Earnings Conference Call. At this time, all participants are in a listen only mode. A question-and-answer session will follow the formal presentation . As a reminder, this conference is being recorded. It is now my pleasure to introduce Allison Soss of Investor Relations. Thank you. You may begin.
Allison Soss: Thank you, operator. Good morning, everyone and welcome to Mydecine's Full Year 2020 Financial Results Conference Call. Before we begin, I would like to remind you that the comments on today's call will include forward-looking statements, which by their nature involve estimates, projections, goals, forecast and assumptions, and they're subject to risks and uncertainties, that could cause actual results or outcomes to differ materially from those expressed in the forward-looking statements and certain material factors or assumptions that were applied in drawing a conclusion or making a forecast in such statements. These forward-looking statements speak only as of the date of this conference call and should not be relied upon as projections of future events. Additional information about the material factors and assumptions forming the basis of the forward-looking statements and risk factors can be found in the company's filings and press releases on SEDAR.
Josh Bartch: Thanks, Allison and thank you, everyone for joining us today on our earnings call. I'm joined by Dean Ditto, Chief Financial Officer. As this is our first earnings conference call as a publicly traded company, I want to use today's call as an opportunity to provide everyone with background on Mydecine, including our building leadership position in the biotech and life sciences industry, growth strategy and vision for the many future applications of psychedelic assisted therapies. We founded Mydecine with the goal of revolutionizing the way people live and experience life through innovative solutions for treating mental health problems and enhancing wellbeing. As an emerging biotech and life sciences company, we set out to accomplish this goal through three main verticals: first, research and development of major source psychedelic assisted therapeutics, novel compounds, therapy protocols and unique delivery systems through global clinical trials; second, a robust IP portfolio; third, development of an advanced HIPAA compliant telehealth platform. To efficiently and quickly establish the foundation for Mydecine, we completed two significant acquisitions in 2020. In June of 2020, we completed the acquisition of Mindleap, a company known for its digital health platform centered around psychedelics. Mindleap’s product design was worked on by a team of neuroscientists, psychotherapists, clinical psychologists, software developers, designers and iOS and Android experts. The Mindleap app tapped into an international network of health specialists to provide customized emotional and wellbeing tracking tools for patients. Since the acquisition, the team has worked diligently to launch Mindleap version 2 with an enhanced experience in remote telemedicine services, which we anticipate this spring. Then, in September of 2020, we completed the acquisition of NeuroPharm Inc., a developer of natural health psychedelic based treatments for PTSD and other serious mental health disorders in veterans and frontline workers. This strategic acquisition not only expanded the company's research capacity but has helped to advance both site scientific understanding and the availability of naturally sourced psilocybin to research institutions around the globe. Additionally, we entered into a strategic partnership with Applied Pharmaceutical Innovations, a translational commercial drug development institute, hosted at the University of Alberta's faculty of pharmacy and pharmaceutical science to further enhance our research capabilities. In June of 2020, we expanded our relationship by entering into an exclusive partnership and research division agreement. Our partnership with API enables Mydecine to field unparalleled studies with precise control and ownership over study design and drug format. We can support multiple drug development and clinical trial programs simultaneously. The end goal is developing products with significantly improved clinical applications over a period of three years. Our research and development capabilities also include Mydecine sponsored studies with several universities, including the first lab based study of established microdosing at Macquarie University in Australia and neuron level response of psilocybin at the University of Maryland.
Dean Ditto: Thank you, Josh. I will speak about the financial results in terms of Canadian dollar. The company's net loss attributable to common stockholders was $26.9 million for the year ended December 31, 2020, which equates to a basic and diluted loss per share attributable to common stockholders of $0.24. This is compared to a net loss attributable to common stockholders of $21.5 million for the year ended December 31, 2019, or a basic and diluted loss per share attributable to common shareholders of $0.96 cents. Turning to the balance sheet. As of December 31, 2020, the company had cash and cash equivalents of $2.2 million. Subsequent to the year end, Mydecine successfully raised approximately $30 million in the first month of 2021. The company believes at this time there's sufficient liquidity to execute on its 2021 planned business activities and to satisfy the commitments made to date. At this time, I would like to turn the call back over to Josh.
Josh Bartch: Thanks, Dean. Today, we provided a detailed overview of Mydecine and the strategy we employed to build one of the most innovative companies in the psychedelic spaces. Recently, we migrated our common shares and warrants to the New York Exchange and March of 2021, enabling us to reach a broader institutional and retail investor audience. While we diligently worked on our drug development, we also remain committed to providing greater visibility within the investment community. In this spirit, we've submitted a formal application to list on the NASDAQ stock exchange, as well as have taken the necessary steps to qualify, including adding an independent board, engaged a Tier 1 audit firm MNP, engaged EGS, Ellenoff Grossman & Schole as US council and announced a spin out of the company's cannabis assets, a prerequisite to the listing. At Mydecine, we focused on closing strategic acquisition and partnerships, advancing our clinical trials and building our IP portfolio to position us as a key player in the advancement of psychedelic assisted psychotherapy. Now as we move ahead with a vertically integrated business model in place, supported by a strengthened balance sheet and expanded team of world class executives, we are strongly positioned to enter the next chapter of Mydecine's journey to lead the future of psychedelic therapeutics industry. We look forward to keeping the investment committee apprised of upcoming milestones, including data from our Phase 2a study as well as our drug development initiatives. We're extremely excited as we approach the launch of Mindleap version 2 following today's announcements of William Cook taking the helm as Interim CEO. Our passion sends us on a mission to develop high quality products and disruptive new technologies so we can contribute to making the world a better place.
Operator:
Josh Bartch: I'd like to thank everybody for joining. This is Josh Bartch, CEO. Thank you to all our trusted shareholders. 2021, we look forward to continued updates, continued progress and a continued enhanced journey. Thank you again for your support.
Operator: Thank you for your participation. This does conclude today's teleconference. You may disconnect your lines at this time. Have a great day.